Operator: Good day, and welcome to the Global Indemnity Group LLC's Second Quarter 2022 Earnings Conference Call.  I would now like to introduce Stephen W. Ries, Head of Investor Relations.
Stephen Ries: Thank you, operator. Today's conference call is being recorded. GBLI's remarks may contain forward-looking statements. Some of the forward-looking statements can be identified by the use of forward-looking words, including, without limitation, beliefs, expectations or estimates. We caution you that such forward-looking statements should not be regarded as a representation by us that the future plans, estimates or expectations contemplated by us will, in fact, be achieved. Please refer to our annual report on Form 10-K and our other filings made with the SEC for a description of the business environment in which we operate and the important factors that may materially affect our results. Global Indemnity Group LLC is not under any obligation and expressly disclaims any such obligation to update or alter its forward-looking statements, whether as a result of new information, future events or otherwise. It is now my pleasure to turn the call over to Mr. David Charlton, Chief Executive of GBLI.
David Charlton: Thank you, Steve. Well, good morning. Thank you for joining our earnings call. In addition to Stephen Ries, Tom McGeehan, our Chief Financial Officer; and Jonathan Oltman, President of Insurance Operations, are also in attendance. Yesterday, we announced the sale of our farm renewal rights for $30 million and the sale of American Reliable Insurance Company from our equity surplus to Everett Cash Mutual. These transactions will free up over $45 million of capital supporting the farm business and further GBLI's strategy to focus on our profitable and growing small and middle market Commercial Specialty casualty businesses. I am pleased that we found such a great company to acquire this business. Everett Cash is very focused on providing insurance solutions to the farm industry. Now let's discuss our results. For our continuing business lines, gross written premium grew by 28.4% compared to the first six months of 2021. The increase is due to organic growth and rate increases in our Commercial Specialty and Reinsurance lines. Underwriting income also had good results. The combined ratio of our continuing lines was 95.4%. Our strategy to reduce volatility is working. Catastrophes incurred for our entire book were $12.7 million compared to $24.5 million in 2021. Commercial Specialty lines cat losses are down significantly. Cats were $5.4 million in 2022 compared to $11.6 million in 2021. The mix of business has now shifted to casualty. I am very pleased to note that casualty-earned premium in our continuing lines was 72.2% for the first 6 months of 2022. Our Commercial Specialty segment grew by 13.4% to $214.1 million, driven by growth in our Penn-America binding small business, which grew 22% to $109.5 million. Penn-America obtained rate increases of 8.3%. This is just rate, exposure change adds another 5%. Our program division also realized growth of 8%, generating $72.6 million in gross written premium on strong rate increases of 10.6%. When we include exposure change, rate was up 21.6% in programs. The market remains strong for E&S commercial business, and we will continue to push rate. Our InsurTech business grew by 10%, generating gross written premium of $19.7 million. Our InsurTech solution allows agents as well as insurers directly to obtain insurance online quickly. We are excited about the leadership we have brought to this business and see one of our most significant opportunities for continued growth and profitability. We are committed to investing in the state-of-the-art technology, embedding online solutions into the sales process and expanding distribution to drive this business. Our three other new businesses, excess casualty, environmental and professional are steadily growing and together now see over $5 million of premium. We are building out the 3 teams of key hires across the country and continue to receive strong support from our distribution partners. All are on track exceeding their plans. And while still early days, I'm very pleased with the quality of business each team is writing. Our Reinsurance Operations primarily focused on casualty reinsurance. Gross written premiums were $87.8 million compared to $46.4 million in 2021. The growth is coming from our largest casualty quota share treaty as well as our excess professional business and several smaller casualty treaties we have recently written. It's a great time to be in this part of the market where premium rate increases continue to be strong. Running longer tail business helps our investment portfolio grow and we can invest these funds at higher interest rates. Exited Lines now include the results of the farm business. It also includes the specialty property book that was sold in the fourth quarter of 2021 and as well as other business we have exited. Now that farm is sold, net premiums written prospectively will be very low. Everett Cash Mutual assumes 100% of the risk for any farm policy written on or after August 8, 2022. In 2022, significant efforts we're taking to enhance liquidity, provide investment flexibility and buffer market volatility. During the second quarter, we continued to de-risk the investment portfolio by selling less liquid investments and investments that had greater exposure to spread widening. The duration of our fixed income portfolio is currently 1.8 years. 1/4 of the portfolio is invested in floating rate securities, securities with rate resets. Cash and treasuries with a duration of approximately 1.9 years comprise almost 1/3 of the portfolio. We are well positioned to deploy funds into higher-yielding investments. Book yield was 2.34% at the end of March '22, is currently 2.81%. We've been deploying the proceeds from sales back into shorter-term investments with durations that are less than two years. The average yields on the funds that have been redeployed are greater than 4%.  We will now take your questions.
Operator:  We'll take our question from Anthony Mottolese with Dowling & Partners.
Anthony Mottolese: My first question, I was just looking to clarify on the results. I know you provided continuing ops, the cats and prior year development in the quarter. Could you provide that on a consolidated basis as well?
Thomas McGeehan: Sure. I mean in our -- on the underwriting income, -- and on just 1 second -- our underwriting income on a current accident year basis was $6.2 million compared to $2.2 million last year. That's on a consolidated basis.
Anthony Mottolese: And could you also provide what the cat impact was on the consolidated basis?
Thomas McGeehan: I'm sorry, I missed your question.
Anthony Mottolese: Sorry, the natural catastrophes.
Thomas McGeehan: Yes. We -- in David's script, we noted that cat losses for the entire book were $12.7 million and on our Commercial Lines business, which will be our continuing business -- most of our continuing business, they were $5.4 million.
Anthony Mottolese: All right. I must have misheard $12.7 million. So then I just also had some follow-up questions related to the sale of American Reliable. Could you guys also share what the expected after-tax gain will be?
Thomas McGeehan: We're still looking at our expenses, but the total proceeds of these sales are $40 million. Included in the sale is we expect American Reliable will have $10 million or surplus at the point of sale. So before expenses, we are at $30 million. There will be some expenses as we look at assets that have been supporting this business. So there will be some write-offs of goodwill, intangible assets, software costs and a little bit of lease cost. And we obviously incurred some investment banking fees and professional fees from the legal services that were provided. Right now, my estimate of those costs are approximately $8 million in total, but that's subject to further analysis, and we will have the final numbers on that as we develop our third quarter numbers. So right now, I'm looking at an estimate on a pretax basis of approximately $22 million.
Anthony Mottolese: All right. That's really helpful. And looking at your portfolio, do you see any other areas or anticipate further business disposals as you focus more on the casualty business?
Thomas McGeehan: No. It's -- we've done an awful lot to position the portfolio. And during the first quarter, we had made a decision to exit any long-term security that had a duration of over five years. During the second quarter, we took further action, we look throughout our portfolio. We identified investments that we believed were less liquid that might not perform as well in this type of a rate environment. And we also had one fund which impacted our investment income, they invested in bank loans. We had about $100 million in that fund. That fund -- the investments -- the bank loans were lower-rated securities. And they had floater, they floated as interest rates increased, the interest rates on those investments increase, but unfortunately, as spreads widened, that particular investment was subject to the risk of spread widening and you're seeing the results of that in our income statement. So during the second quarter, the things I just noted, we divested of all of those things that included that alternative investment of about $100 million. And right now, our portfolio, we believe, is extremely well positioned. We are -- David mentioned our book yield. Our duration is less than two years, at 1.8 years. The equity exposure that you see on the face of the balance sheet is really -- it's mainly preferred stocks.  So right now, we think our portfolio is as well positioned as it can be for -- as we move ahead in this rising rate environment.
Anthony Mottolese: That was a lot of good information. Lastly, related to the sale, does this further reduce the expected cat load or -- and the P&L profile of the company?
Thomas McGeehan: Yes, absolutely. I mean the agriculture book was largely a property book. So it is subject to more Midwest driven than some of our other business that might be coastal driven. But yes, cat exposure will absolutely decrease.
David Charlton: Yes. I think when we look after the sale of farm, we estimate AAL was reduced by 27%. And just adding a little bit on why we sold the farm business. When we looked at the farm business, 76% of the premium was driven by property. We also had some commercial auto in there. It's another product we're not targeting. And like adversely, only 24% was casualty insurance. So it did not meet our definition of a core business and really why we made the decision that we did.
Anthony Mottolese: And then one last question. I know your focus has been in the growing in the E&S market. Have you had the price more competitively to achieve your internal growth targets. Could you provide any color on that?
David Charlton: Yes, I would say exactly the opposite. We've been able to get increasing rate really across lines of business. The other area that we've really been seeing -- we talked earlier about the rate increase we're getting and the exposure increase we're getting. But the third area is we're seeing quite an increase in audit premium. We're looking at -- when you look at our Penn-America books and our programs, audit is up from this time last year, about $3.6 million up to $8.8 million. So the premium we're getting from audit as well on top of rate and then premium is all increasing.
Anthony Mottolese: Okay. And I guess my last question, could you provide an update on what the new money rate is on the investment portfolio versus where it was earlier this year?
Thomas McGeehan: Sure. We have been deploying -- we've been actually achieving yields that are a little north of 4%.
Operator: We'll take our next question from Tom Kerr with Zacks Investment Research.
Thomas Kerr: Can you go back to the Commercial Specialty and the individual lines. Within there, you mentioned some of the strength in Penn-America and other ones, I believe. But were there any laggards or disappointed ones that you thought could be better across all the lines in there?
David Charlton: No. I mean, where we really decrease is in the areas that we want to, so the biggest decrease has been in property brokerage, which has been very much by design is down significantly. Where we run off all the business in that line, it was over $10 million, really across the Commercial Specialty area, we mentioned that Penn-America programs growth is strong. The new business is we feel good about and the reinsurance side and the casualty and the InsurTech, which is -- has been a profitable area for us that we're building out. So it really was a solid quarter on across the board.
Thomas Kerr: Okay. Great. And then back on the investment portfolio, I think your answer just previously stated -- for the most part, you're done with all the duration shortening activities. Is that correct, if I read in...
Thomas McGeehan: Well, I won't say we're done, right? At the moment, I think we're happy with where we are, but we always are looking at our portfolio and the market environment. And if we believe that action would be needed to reposition the portfolio, we would take it. But right now, the actions I noted, position the portfolio for where we believe it needs to be today.
Thomas Kerr: And from an investment process, is there something you guys would look at to sort of reentry back into equities itself? Or are you just waiting for prices? Or how does that work?
Thomas McGeehan: Again, there's a lot of volatility there. We've been in and out of equities several times over the last couple of years. This year, we saw the equity environment as being extremely volatile. If I go back to January of this year, we had a portfolio of equities that was about $76 million, and we made a decision at that time to exit. And we use those proceeds. It helped us pay down our subordinated debt in April. And it was absolutely the right decision because after January, equities dropped. And so Tom, the answer is that this year, we thought it was the right time to get out. As we go forward, we work with our investment advisors, and we consider the information that they are providing to us. And if we believe at that time, it's the right time to get back into equities, we would. But right now, as I said, our only equity exposure on the balance sheet, it's primarily preferred stock.
Thomas Kerr: Got it. And sorry if I missed this in our previous conversations, but who manages that. Is that a team effort, the entire investment portfolio? Or is there a Chief Investment Officer?
Thomas McGeehan: We have three external investment advisers, and it's overseen. We do not have a Chief Investment Officer in-house, but we have three really good managers that manage our entire portfolio, except for .
Thomas Kerr: Yes, got it. That's right. next question is kind of more a general big picture economy question or recession focused. And since how do you guys manage that or think about that or even price that at so many of end markets or customers or small businesses? So I'm not sure exactly what my question is, but how do you take that into account if we go into a real recession in the near to midterm?
David Charlton: Yes. I mean, obviously, with the recession, a nice part about the insurance business for the most  insurance. But when we look at where we're very focused is inflation, and that really hits different products very differently. We're fortunate. Where we're seeing a lot of pain in the personal auto market, we're not in that marketplace. We look at social inflation, but we manage that on small businesses and the rest of our limits are $1 million and under, especially on the casualty side. And then we don't have -- the area we were seeing a little bit of inflationary pressure on our property book is becoming a much smaller part of our portfolio. So we're inflated somewhat there as well. So -- but we're definitely keeping an eye on it. And that's why we've emphasized the rate increase so much that we need to make sure that we continue to get rate to outpace inflation.
Thomas Kerr: It makes sense. A couple of more financial questions. The corporate expenses, I think it was down 50% or so. What was that? Or is that the current run rate?
Thomas McGeehan: Yes. Well, this quarter, we -- the corporate expenses include -- you'll see this in our 10-Q, throughout COVID, we kept our entire workforce employed. And this quarter, we had filed last year for an employee retention credit and received $2.7 million this quarter that was offset against corporate expenses.
David Charlton: I'd add to that, we're saving -- with the cat reduction, we're saving significantly on reinsurance. On our cats rate, we saved 55% this year. It's a significant number.
Thomas Kerr: Okay. So that means on a true run rate or annualized run rate is still going to be well below $18 million to $20 million, even if you look into next year?
Thomas McGeehan: Well, again, you're going to see some increase in expenses this quarter, Tom, because of the transaction with the American Reliable transaction. So every year, we usually do something. And for the last couple of years, we've noted that a corporate run rate of $18 million to $20 million is what we would expect. What you're seeing in the first six months, again, includes that $2.7 million credit and not a whole lot in the way of, I'll call it, special corporate expenses. Closing this deal, we'll have some. So the rate, the amount of corporate expenses in the second half of the year will be higher.
Thomas Kerr: Got it. Okay. That makes sense. And then going off the $130 million debt, any color on that? Or is it just a corporate allocation decision or capital allocation decision?
Thomas McGeehan: No, it was a capital allocation decision that debt was -- had an interest rate of just under 8%. And -- we had sold our specialty property renewal rights in the fourth quarter of last year. It freed up some capital. And as we looked ahead, and we are always thinking about the best way to deploy our capital. At that point in time, we thought a good decision was to eliminate our subordinated debt.
Thomas Kerr: Makes sense. The last question for me. Just to be clear on the farm sale, that eliminates all the farm and agriculture business that's not going to be in the Exited Lines? I don't know if that makes sense or not.
David Charlton: That's correct. And then so we -- as of the August 8, all new biz will be 100% reinsured until they take that over. And then on the -- we'll have the unearned premium will be the only remaining part of the farm and then that obviously runs off.
Thomas Kerr: Okay. Got it. All right. Last question. This is more of an Analyst Day question coming up, but the performance objectives and goals that were set last fall, the 6%, 7% to 8% premium growth. Do you foresee those changing? Or are those in the discussion? Are you guys still good with that at this time to be in that range over the next five years?
David Charlton: Yes. I don't think it's changed over that five-year period. And we -- at our Investor Day, we talked about -- it's not a 1-year journey, it's a five-year journey. And when you look at building new businesses, that takes time. We're trying to do those the right way. And so we feel good about that we're on track. And in the area, as I mentioned earlier, that I actually think we're a little bit ahead of our plans are that transitioning to a casualty company from a property company, which really reduces our volatility. And so we feel pretty good about 72% being casualty for our earned premium in the first 6 months. So we feel that we're executing on the plan.
Operator: And that does conclude the question-and-answer session. I would like to turn the call back over to Stephen Ries for any additional or closing remarks.
Stephen Ries: Thank you, operator. Thank you, everybody, for joining us today. We look forward to speaking to you after the third quarter.
Operator: And that concludes today's presentation. Thank you for your participation, and you may now disconnect.